Operator: Good morning, everyone, and welcome to the Grupo Televisa's First Quarter 2020 Conference Call. Before we begin, I would like to draw your attention to the press release which explains the use of forward-looking statements and applies to everything we discuss in today's call and in the earnings release. I will now turn the call over to Mr. Alfonso De Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso De Angoitia: Thank you, Eltita. Good morning, everyone, and thanks for joining us today. With me, either present here at our offices or remotely, are the heads of our three key business segments: Salvi Folch, CEO of Cable; Alex Penna, CEO of Sky; Patricio Wills, Head of Televisa Studios; and also Carlos Ferreiro and Antonio Lara, Corporate Vice President of Finance and Administration respectively. Let me start with the obvious. I hope that you and your loved ones are safe and healthy in these very challenging times. I will now walk you through the steps we have taken in response to COVID on a company-wide basis, then I will address our first quarter financial results and turn it over to Salvi, Alex, and Patricio for their review of key operating metrics and the measures they have taken to protect our people and our businesses. Before taking your questions, I will close by discussing the recent announcement of the sale of Univision and our outlook under this very challenging macroeconomic environment. Starting with COVID and its impact in Mexico, the first case was reported on February 29. On March 18, Mexico established a social distancing program which is now in effect until May 30. Last week, on April 21, the federal government declared the phase - the start of the Phase 3, the most serious phase of the coronavirus pandemic. The number of COVID cases continues to grow and is expected to spread rapidly in the first half of May. The focus of phase three is to go beyond the social distancing measures and further reduce movement of people in public spaces to prevent the country's health system from being overwhelmed. As of yesterday, the number of official numbers indicate that there have been around 15,000 confirmed cases and very sadly close to 1,400 deaths in Mexico. We took many measures early on and are continuing to do everything we can to protect our people. This has been our number one priority. Across the company, more than 80% of them are working from home. A relevant percentage of our labor force is in vulnerable groups and is now on paid leave. Our call center personnel is being rotated regularly, and our sales and field service personnel are operating at full capacity under strict sanitary conditions. We have an ongoing communications campaign with all employees, and we are closely following all suspected cases and vulnerable groups. In addition, we have taken steps to ensure the continuity in the delivery of our video and telecom services, our news programming, and our general entertainment content, all of which are particularly important to our audiences and our customers during these difficult times. Some of our businesses will be more affected than others, and we're preparing accordingly. For example, at this moment, we have stopped production of new content except for certain shows such as our daily newscasts, sports news, and other selected general entertainment content, all of which are being produced under strict sanitary conditions. In the case of Sky and Cable, we have closed some branches and points of sale, and we have been promoting self-service channels to avoid interruptions in the payment of services. In our other businesses segment, our soccer team is not playing. Our casinos and the Azteca stadium is closed. Our publishing business has been severely affected on the distribution end, and our movie distribution business is on hold due to the closure of movie theaters. To protect our profitability, we have implemented an aggressive cost reduction plan across the company which includes a freeze of new hires, on salary increases, and on consultancy services and a comprehensive renegotiation of all agreements with our suppliers. Also, we have implemented a temporary reduction of executive level compensation. Bernardo and I will cut our salaries by 50…
Operator: Pardon the interruption. We lost all the line of our speaker. Stay on the line. And we have the line of Mr. Angoitia. Please proceed, sir.
Alfonso De Angoitia: Are we back?
Operator: Yes, sir.
Alfonso De Angoitia: Thank you. So I was saying - sorry for the interruption. I was saying that to protect our profitability, we have implemented an aggressive cost reduction plan across the company. I guess that we have not paid for the conferencing service, and that’s why we got disconnected. But, no, in all seriousness, this cost reduction plan includes a freeze on new hires, on salary increases, and on consultancy services and a comprehensive renegotiation of all agreements with our suppliers. Also, we have implemented a temporary reduction of executive level compensation. Bernardo and I will cut our salaries by 50% and we will invite Vice Presidents and Directors to reduce their salaries by 10% percent to 25% depending on salary brackets. In addition, the members of the Board yesterday decided to cut their compensation in half. A thorough review of every single cost and expense line item is underway. The cancellation of some productions and the freeze on travel will also help reduce costs and expenses. Moving on to our first quarter results. Consolidated revenue was relatively flat reaching MXN 23.2 billion and operating segment income was down 7.1% reaching a margin of 35.2%. Let me briefly address the operating and financial highlights for each of our three core operations. More than ever, there is a strong need for connectivity, information and entertainment, and we're satisfied - we’re satisfying the need with the content and the service we offer especially through broadband. Starting with cable, revenues were up 9.4% after adding 256,000 RGUs or revenue generating units. Close to half of them were broadband subscribers. This is the fastest pace of organic growth in seven quarters. Operating segment income remains strong reaching a margin of 41.5%. Moving on to Sky. Revenues were up 2.3%. This is the fastest pace of growth in three years and the fourth consecutive quarter that Sky adds video subscribers. Also, Sky's broadband business continues to grow reaching 430,000 customers. Operating segment income remains strong with a margin of 41.3%. Moving on to Content. Revenues were down 6.4%. This result was driven by a drop in advertising revenue of 28.4%, mostly compensated by an increase in licensing and syndication revenue of 20.8%, and a network subscription revenue of 9.3%. Operating segment income reached MXN 1.6 billion and the margin was 24%. The growth in our licensing and syndication revenue lines was driven by the strong results of Univision with royalties growing 11% year-over-year and reaching $97.6 million.  On the other hand, advertising revenues were down for two main reasons. First, there was a timing effect that resulted from the change in the calendar for the negotiations of the up-front. As we informed you last quarter and at the end of last year, we moved negotiations to the first quarter this year as opposed to the last quarter of 2019. Some of the agreements did not close until mid-March creating a gap of time between the moment 2019 up-front deposits run out and the beginning of 2020 up fronts, during which some customers did not have a deal in place with Televisa. We have to change the manner in which we were selling advertising for decades. This is a process with many terms and conditions that were working against us. For that reason and as we explained in the previous calls, the negotiations were extremely tough and took longer than anticipated. But we have to remain disciplined and we have - we had to use the success of our content in order to negotiate better terms. As part of this process, we were finally able to move all our clients to a CPM basis. This will allow us to make a more efficient use of our advertising inventory. Also, we were able to improve our rate card and we value our prime time inventory. We concluded negotiations with a large majority of our clients and secured commitments to close to MXN 15 billion. The negotiations with these clients concluded successfully with a low single-digit increase in their total investments when compared to last year. We were not able to conclude negotiations with some clients due to the arrival of COVID however, some of them are currently advertising in the spot market. Also, we could not come to terms with two high volume clients than were paying us the lowest rates, but we managed to bring in 45 new clients that will contribute with close to MXN 700 million. The second factor impacting our advertising sales figure was that starting in late February, there was a massive deterioration in growth expectations for Mexico triggered by COVID. As a result of the new level of uncertainty, many clients decided to pull back on advertising in the last part of the quarter. In particular, some clients in the consumer goods and travel industry, significantly reduced their ad spend and their own business - as their own business has started to become affected by social distancing. In addition, the cancellation of multiple sport events with premium advertising rates affected our results. Finally, consolidated net income was down by MXN 9.8 billion and was impacted by two factors. First, the depreciation of the peso during the quarter by 26% resulted in a foreign exchange loss of MXN 8.6 billion due to our net dollar liability position. Second, we updated our valuation analysis for Univision and adjusted the book value at which we carry our stake. This adjustment resulted in a noncash charge of MXN 5.6 billion in our results. Our earnings release provides further detail on the accounting treatment of these noncash line item. Now, let me turn the call over to Salvi, CEO of Cable.
Salvi Folch: Thank you, Alfonso. We started the year on solid footing. Over the last 12 months, we have maintained strong momentum. Our business has remained resilient, especially in March and April, even at the effects of COVID are getting stronger every day. During the quarter, we launched a new single-play broadband offer that ranges in speed from 5 to 100 megs, and in price from MXN 210 to MXN 530. The timing of the launch could not have been better since having connectivity options at lower prices can be attractive for many of our subscribers. During March, as the effects of COVID grew, we saw an acceleration in demand for our services. We saw an increase of over 40% in data traffic, both downlink and uplink. Also, the average duration of calls increased by more than 30%, while VOD and transaction VOD also saw similar rates of growth. In addition, some of our customers upgraded to faster speeds. The importance of connectivity boosted new sales, and during March we reached an all-time record in the number of gross additions. We closed the first quarter with 12.9 million RGUs of which 37% were broadband, 29% were voice, and 33% were video. We anticipate that if the lockdown gets extended and economic activity remains to slow some of our customers may not be able to pay for their services. Some of they may disconnect or migrate temporarily to lower-priced products.  In that regard, we are launching a lifeline package that will be available during May and June for customers facing difficulty paying their bill. Such lifeline package has a reduced fee of 2 megs and does not allow the download of video content or video games. Throughout this unprecedented time, we will give priority to capital preservation and cash flow generation. So we would be using our planned capital expenditures for 2020 by approximately $80 million. This will not impact our ability to satisfy and fund increases in demand.  Some of our customers like hotels, restaurants or retailers are already facing challenging times and it is likely that others will be negatively affected. However, the importance of reliable connectivity is being highlighted during the lockdown. We cannot rule out that we may face challenges in the coming months. But the investment thesis of the big opportunity that the telecom market represents in Mexico remains intact.
Alfonso De Angoitia: Thank you, Salvi. Now, let me turn the call over to Alex, CEO of Sky.
Alex Penna: Thank you, Alfonso. Sky continued growing throughout the first quarter and particularly during March when social distancing began in Mexico. In the case of our video service, we grew 8,000 new video RGUs, maintaining the positive trend in net additions since the second quarter of 2019. Also, the rate of recharge of our prepaid service was up during March. In the case of broadband, during the quarter, we added 44,000 new customers. In Central America and the Dominican Republic, our results will be affected by the slowdown in net additions to the strict measures implemented by the local authorities in those markets in response to COVID. Central America and the Dominican Republic, however, account for less than 7% of our total revenues. In all, during the first quarter, we were able to post moderate growth in revenue after six quarters of posting a negative figure. In support of our video customer base, we are providing free access to multiple pay TV channels, and two exclusive pay-per-view entertainment, and classic sports content. We are also implementing a number of retention strategies for our postpaid subscribers such as waiving the reconnection fees combined with discounts for prompt payments. With our prepaid customers, we are launching incentives to increase the recharge rates. We will continue developing other mechanism to support our customers through these unprecedented times. For the moment, our guidance for CapEx will remain at proximately $200 million. But the majority of our capital expenditures are gross related. So there will be room for this figure to come down if gross additions is slowed down in a relevant manner.
Alfonso De Angoitia: Thank you, Alex. Now, let me turn it over to Patricio Wills, Head of Televisa Studios.
Patricio Wills: Thank you, Alfonso. During the quarter, our productions continue working very well and viewership of our content remains strong, posting mid to high single-digit growth in rate. During the first quarter, the top ten programs in Mexico broadcast television were produced and transmitted by Televisa. This includes six telenovelas, two dramas, one game show, and one comedy. The growth in ratings were even higher during March when social distancing measures began to get implemented. The ratings were particularly strong in our flagship network, Las Estrellas, which carries our most important newscast. Our news programming has great results because of the trust that it earns from our audiences. During the first quarter, our main newscast has a larger audience than all other newscast on free-to-air and pay-TV network combined. In moments like these, one, Televisa becomes the main source of information and point of reference for the general population both on the national level and local, and we take this responsibility very seriously. While we postpone some production through June, most new primetime content for our flagship channel has already been produced and will be transmitted as planned. We have a strong content offered in our pipeline and it will be complemented with content from our very extensive library. In the 9:30 PM, slot, for example, we’re just scheduling a rerun of the most successful biographic series [indiscernible]. In terms of our capital expenditure for 2020, we plan to reduce them by close to 50% to approximately $54 million.
Alfonso De Angoitia: Thank you, Patricio. Moving on, last February 25, Searchlight Capital Partners and ForgeLight announced the acquisition of a majority ownership in Univision. Searchlight is run by Eric Zinterhofer, an experienced world-class investor in the media and telecommunications industry. And ForgeLight which was founded by Wade Davis, the former CFO of Viacom. We're very excited to see Eric involved with us. He has been great. We’re all so excited to see Wade Davis become the new CEO of Univision upon the closing, bringing all his expertise in the industry and building on the great work that Vince Sadusky has done to-date refocusing the company on its core business. The transaction is expected to close before year end. On April 20, Univision pre-announced preliminary financial results for the first quarter and the strong operating momentum was evident. Univision estimates revenue growth of 8% to approximately $660 million, mostly driven by growth in subscriber fees of 19%. Also, it estimates adjusted operating income before depreciation and amortization to approximately $251 million, equivalent to year-over-year increase of about 23%. Over the last 18 months, Univision has been very successful at renewing its distribution agreements with six of the top seven paid television distributors. In all places, it was able to achieve rate increases with step-ups starting in 2020. There are no major agreements up for renewal until the end of 2021 which provides significant revenue visibility. In addition, there is a large opportunity with the virtual MVPDs where Univision is not currently carried. Univision programming is working very well and with its three networks, is now capturing twice as many Hispanic eyeballs as its closest competitor. During February sweeps, Univision posted double-digit growth in primetime ratings while other top networks, regardless of language, posted an average decline of 15%. During the first quarter, Univision was the fastest-growing portfolio of networks in primetime regardless of language among the Top 10 U.S. media companies. Without a doubt, the improvement in the quality and relevance of our productions has helped Univision regain its leadership. Our drama, Rubi, beat Telemundo, their closest competitor, by 40% and another one called Ringo by 42%. Also, a repositioned UniMas which is Univision’s other free-to-air network posted strong audience growth in primetime for the second consecutive quarter. We will continue to work very closely with Univision to help them make the best possible use of our content. Univision will be affected by COVID as the U.S. advertising market deteriorates in the coming months. Nevertheless, Univision is taking all the steps to prepare for this. We work extensively with Univision on a plan for a swift cost and expense reduction initiative to minimize the impact on the bottom line. And the plan has been approved by the Board of Directors and is being executed as we speak. Finally, Univision issued five-year bonds for $370 million last week in order to refinance debt maturing in 2022. Both Moody’s and S&P reaffirmed Univision’s rating. The fact that Univision was successfully in issuing under this challenging market conditions, highlights it’s strong recent financial and operating performance, it’s resilient business, the successful renewal of key distribution agreements, and it’s comprehensive cost and expense reduction plan in response to COVID. In terms of consolidated capital expenditures at Televisa, as you heard from our divisional heads, we will be making adjustments in all three businesses. The final figure will depend on the pace of growth, particularly in the case of Sky and Cable. At this moment, we expect CapEx in 2020 to be in the range of $750 million to $800 million. During the 2020, the health crisis caused by COVID will be followed by a profound economic contraction. According to forecast by several banks, the Mexican economy is expected to contract between 6% and 10% in 2020. The drop in the prices of oil will put significant pressure on government finances and remittances, exports, foreign investment and tourism according to those banks will all be expected to decrease. According to those same banks, this will put significant pressure on unemployment on disposable income and also as a result on our clients and on their operations and ours. These are unprecedented and turbulent times. There is considerable uncertainty as to the severity and duration of a pandemic in Mexico, its economic consequences and its long-term effects. We do not have sufficient visibility for the rest of the year, but we know that during the second quarter, our advertising sales business will be challenged while our Sky and Cable segments will likely remain resilient. Fortunately, we have - we are entering this difficult phase with a diversified revenue base, solid margins across our three core operations, a strong and growing broadband business and an enviable position of liquidity. Let me address each of these points. First, over the last 12 months, our subscription-based businesses, Sky and Cable, already contributed with close to 63% of consolidated revenue and 67% of operating segment income. Also, over the last 12 months, operating segment income margin for Cable and Sky was 42% and for Content 35%. These are some of the strongest margins in the industry and will provide us with sufficient room to maneuver through this difficult phase. In our broadband business, we have made the investments necessary to be able to offer high-speed data, which will give us the opportunity to continue growing. In terms of our effects FX exposure, our dollar denominated costs and expenses are naturally hedged by dollar-denominated revenues in a similar amount. And we have hedged and have hedges in place for more than 80% of interest expense and capital expenditures for 2020. Finally, we have a very strong balance sheet and sufficient liquidity to face the difficult times ahead. We closed the quarter with a liquid position equivalent to MXN 2.3 billion and 16 years of average maturity for our debt. Along these lines, and in order to be prudent and maintain our liquidity position, our board decided yesterday to propose to the shareholders’ meeting taking place today the cancellation of our 2020 dividend. In the coming months, we will continue to focus on minimizing the impact of this crisis unprecedented, sanitary crisis and unprecedented upcoming economic crisis on our operations. Thank you. We're now happy to answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of Rodrigo Villanueva. Please ask your question, your line is open.
Rodrigo Villanueva: Good morning, Alfonso, and team. I hope you and your families are well as well and thank you very much for your remarks. So, my first question is related to this suspension of new productions. I was wondering if you expect any negative impact on audiences - as a result of it. Then I have another question which is basically a follow-up to what you mentioned regarding content OpEx savings in 2020? I just wanted to confirm if the figure that I got of $54 million is correct? And finally, I was wondering if you could please share with us some color on the performance of the different businesses so far in the second quarter with lockdowns in place for the whole of April? Thank you.
Alfonso De Angoitia: Thank you for your questions, Rodrigo. They're good, as always. I would say that in terms of suspension of production, we have produced and have ready most of the - productions to go all the way to July. As we have an extensive library and we can use reruns of our most successful products in order to minimize the impact. We don't really see an impact if we do that all the way. I mean, we would start facing some issues starting in August, and we’re preparing ourselves for that situation. But we can go all the way to August without having an impact on. As to your question that has to do with CapEx, basically the new I’ll let Carlos Ferreiro to go over the new CapEx forecast.
Carlos Ferreiro: Yes, the question that you made about the $54 million, what we mentioned on the call, Patricio mentioned around CapEx, we're expecting $54 million of CapEx reduction in the content business. And for the full year, total CapEx for the company or for the Group is between $750 million and $800 million.
Alfonso De Angoitia: And to your last question that has to do with the different businesses, I'll answer in what we’re seeing in terms of advertising sales and the content side of the business. And then I'll ask Alex and I'll ask Salvi to answer in respect to Sky and in respect to EC. In terms of advertising trending in April, I would say that it looks bad. As I mentioned, last week, we entered into phase three which is the most serious phase of the pandemic here in Mexico. So the Mexican authorities will further reduce movement of people in public spaces that is happening. And a large number of our clients are in industries like tourism, like movies, movie theaters and movie distribution, retail and entertainment. And those clients have been very affected by this phase of social isolation and are not advertising at this moment. I guess it doesn't make sense for them to advertise if their shops are closed or if their movie theaters are closed. So the pandemic has already put significant pressure on April and the sales in April, so advertising sales will be heavily affected, I would say during the second quarter. As of the rest of the year, it's impossible to predict. It will all depend on the length and I would say the intensity of the pandemic in Mexico, especially the lockdown period and the impact on economic activity. I would say it all depends going forward on the severity of the recession that is coming. As I mentioned, according to several top banks, the economy is expected to drop somewhere between 6% and 10% in 2020. This is a dramatic decline, unprecedented decline. And of course, that will put significant pressure on our advertising clients. So I’ll ask Alex to answer your question as to how he is looking at things in the case of Sky and then Salvi will take your question in respect to EC. 
Alex Penna: Thank you, Alfonso. Well, so far during April so far, so good on the main metrics such as a rate of recharges in our prepaid service and the pace of collections among our postpaid customers. Also, gross additions of video and broadband services continue very healthy. However, as you may appreciate it's too early to determine how well we might perform in the second quarter. But I repeat so far, so good.
Salvi Folch: Thank you, Rodrigo. Thanks for your good wishes. I also hope your family is safe. At this point, well, we're not providing guidance for the second quarter. But what I can tell you is that the demand for connectivity services remains very strong. The need for working from home or from the educational needs or for entertainment it’s very high just like in the last part of March. So we have a very competitive offer. And up until now, we continue to have good momentum. But it's early in the quarter, but up until now we are seeing strong demand for our services.
Rodrigo Villanueva: Understood, thank you very much. And if I may ask, is there any figure that you can provide us with respect to potential OpEx savings, particularly at the Content division? Is there something that you have in mind considering all that you elaborate at the beginning of the call regarding salary cost, et cetera, et cetera?
Alfonso De Angoitia: Yes. Well we’re not giving guidance Rodrigo, for margins or for cost and expenses. But we have implemented the first phase of an aggressive cost reduction plan. This has been across the company and all its businesses. We’re putting together Phase 2 which will be implemented shortly. As I mentioned, as part of Phase 1, there is a freeze on new hires, also a freeze on salary increases and on consultancy services, advisory services. And we’re renegotiating all agreements with our suppliers that mostly have taken place already. As I mentioned, Bernardo and I will cut our salary by 50%. And we will invite starting today our Vice President and Directors to reduce our salaries by 10% to 25% and this will depend on the salary brackets. And also the Board of Directors yesterday decided to cut their own compensation in half. So what I can tell you, that’s Phase 1, then Phase 2, this will include deeper cuts throughout Content, Cable, Sky and the rest of the companies. And this will include production this will include acquisition of content, specifically sports content. As you know most of the leagues worldwide including the Mexican league have been suspended. So, we are not receiving the games and of course, we’re renegotiating those agreements. We are also renegotiating all agreements that were not part of Phase 1 throughout all business segments. So, it’s a comprehensive reduction of cost and expenses. I think from years of experience, we're pretty good at doing that. And this plan, as I mentioned, will be comprehensive and will include all costs and expense lines.
Operator: Your next question comes from the line of Gordon Lee. Please ask your question. Your line is open.
Gordon Lee: And I'd like to add my best wishes to everybody and their families. Two quick questions. First on the Univision write-downs. It looks like you're still carrying Univision at about MXN 1 billion on your books and I just wanted to see whether that's consistent with the valuation that was paid in the transaction that took place in the first quarter, or if you're still marketing above that. And the second question on the balance sheet, I was wondering if you could remind us what significant covenants, if any, you have on your debt and when those tests take place. Thank you.
Alfonso De Angoitia: Yes. Thank you, Gordon. I hope that you and your family are safe and healthy. I’ll ask Carlos Ferreiro, our CFO, to answer both of your questions.
Carlos Ferreiro: Hi, Gordon. Good morning. Regarding Univision, as you know, the transaction was announced on February 2020, and this triggered the review of the book value at which we carry Univision in our books. You’re totally correct. The value at which we have agreed and decided to carry the investment going forward is MXN 1.1 billion. The transaction value of Univision was not made public, but that’s not the value to us. It was the value to a controlling shareholder that strongly wanted to exit. And as you know, we consider Univision to be a strategic partnership and a strategic asset for Televisa. We provide most of the prime time content, the programming license agreement is a long-term contract that it's very important for us and that we monetize our content in the U.S. Hispanic market. So it’s clear that the value of this investments for us considers the different perspective and time frame from the private equities that sold its stake. As of your second question, on our credit facilities, we have covenants of four times net debt. We finished the quarter with a 2.9 times, so we still have a lot of room - we have a room - we’re compliant with our covenants as we speak now.
Operator: Your next question comes from the line of Marcelo Santos. Please ask your question. Your line is open.
Marcelo Santos: Thanks for taking the questions and hope you’re also are well and you remain well. The first question is on public advertising, we saw the government commenting on making very large cuts on advertising, so just want to understand if this is already reflected in the first quarter. And the second question is regarding the upfront, given the COVID pandemic, do clients have some option to use the deposits they made beyond the 2020 or until beyond March 2021 or they do need spend the values they committed in this time frame? Thank you.
Alfonso De Angoitia: Thank you, Marcelo, and thank you for your wishes. We wish you the same. In terms of the upfront, I would say that those agreements are basically run until year-end. Materially, most of those agreements we run until year-end and only cover 2020. In respect to your first question, I would say that, as you know and it has been publicly mentioned, the government is cutting down on many expenses and we know that advertising is going to be one of them. So, we believe advertisement from the federal government will be reduced substantially maybe even to zero. However, governmental entities and local governments might not be affected. Government advertising represented 7% of Televisa's total advertising revenue last year and 1.3% of consolidated revenue in 2019.
Operator: Your next question comes from the line of Fred Mendes. Please ask your question. Your line is open.
Fred Mendes: Good morning, everyone, and thanks for the call and hope everyone is safe as well and your family. I have two questions here. I mean the number one is - the cable result, it seems strong and I just wanted to understand how much the COVID-19 is impacting the process of the homes connected, it looks so far that even though, I believe there is a negative impact from that, but it may be so strong that we have been able to increase on net adds significantly? This is my first question. Then, my second question related to the content advertising, just to understand the dynamics here, if you can just give us, I don’t know a range or a breakdown to the advisers on the private segment between Mexican companies and international companies. I assume that with the Mexican peso depreciation, if we have the international companies, that we may have a budget to not see in order to present some kind of opportunity for you guys to, let’s say, increase the revenue over the next. But, of course, it could be anything in a very specific situation, but still imagine there is an opportunity there, so just to understand the dynamics there. Thank you.
Alfonso De Angoitia: Yes. Thank you, Fred for your questions. I’ll ask Salvi to answer the first question.
Salvi Folch: Yes. Thanks, Fred. Thanks for your good wishes. Likewise, keep safe. Regarding the strength of the first quarter in terms of net additions, yes, you're absolutely right. It was basically towards the end of the quarter. As Alfonso pointed out, the lockdown got stronger in Mexico even the second half of March. So, what we really saw on the second half of March was much stronger reconnections or payments from our customers. And that's why what we see in terms of subscribers, I think it looks better than in terms of the overall quarter and it had to do with the end. It was not enough to take us to positive net adds on video, but I think that it was very strong on our broadband. As I pointed out, we launched single play and ranging from 5 megs to 100 megs, and that offer has been - has had wide acceptance from our customer base because broadband is the most resilient product. As the lockdown gets extended, I have no doubt that connectivity needs will be very strong and would be growing even during the lockdown. However, some of our customers may face problems on paying, and that's why we have to be cautious. But the demand of our services has increased the average use of our customer has increased about 30% on the downlink and 50% in the uplink. So we're very happy that our network was up to the needs of our customer base and the investments that we made paid off. But yes, we expect it to remain strong.
Alfonso De Angoitia: Yes Fred, as to your second question, the up-front depository - the up-front plans are peso-nominated. And the challenge that we're looking at is that resulting from the valuation of the Mexican peso, most of those transnational companies have to report to their shareholders the earnings that they have forecasted in dollars. So as a consequence, they're adjusting and reducing costs and expenses. And, of course, that affects us.
Fred Mendes: Thank you, Alfonso. Thank you, Salvi. If you just allow me one more question, back on the cable, just again to understand the dynamics. If you can just match let’s say - I don’t need a breakdown, but just like I’m asking here to let us know - I mean most of these net adds - I mean are they coming from the competitors now that people are staying home and working from home, and now we can really see the quality of their network? Or you’re seeing a new guy jumping into the market because I think the scenario assume that this trend should continue? And let’s say your main competitor has most corporate [ph] and you’re coming with cable. So just understand the dynamics here again? Thank you.
Alfonso De Angoitia: Well, what I would say is on our investment thesis is connectivity in Mexico has a low penetration. It will increase overtime. I guess that households that did not have the need of having a broadband at home resulted with the need once that they are in the lockdown and especially because mobile cannot be a perfect substitute specifically because mobile has data caps and the needs that they have. So I guess that this is helping. At this point, it’s helping to increase penetration because some of the results that have been published and what will be published, I guess that demand for connectivity is strong. And it’s simply because penetration is low in Mexico. So I hope that this will help increase that. That is the first stage. Over time, I see this as an opportunity because the networks are being put at a test. And we might be able to take customers away from our competitors depending on the quality that everyone is providing. But at this point in time, I think that it's more towards new customers for all of us.
Operator: Your new question comes from the line of Soomit Datta. Please ask your question. Your line is open.
Soomit Datta: Soomit with New Street Research and all the best gentlemen there from the U.K. A couple of questions, if I could narrowing in on - Cable also please. One to Salvi, can you give us a quick update on your thoughts for the Enterprise segment and there look to be a bit of a slowdown in the quarter there. I just wondered was that COVID-related - is this the segment which is more or less exposed to the broader threats in the economy a little bit of color there would be great? And then, secondly, kind of on cable but also relevant to Sky as well, please, just on the margin side. I guess we haven't seen much impact yet from - well, certainly not a full quarter's impact yet from the peso-dollar move. Should we anticipate further pressure there? I appreciate there's a number of cost initiatives underway, which will hopefully offset. But just only on the translation effect, should we be expecting some weakness on the margin side? Thank you.
Alfonso De Angoitia: Hi, Soomit yes on the margin question, I'll ask Alex to answer in respect to the Sky, and then Salvi can take your first question plus the margin question and what has to do with EC.
Alex Penna: We expect - we got to see how this - the situation, the current situation will evolve. But as Alfonso mentioned earlier, we at Sky, have already implemented a number of cost and expense savings that will help us to try to keep the current margins at this level or slightly below this level. But our target is through the implementation of these cost savings initiatives and additional debt, we may implement going forward is to protect our EBITDA margin.
Alfonso De Angoitia: Salvi?
Salvi Folch: Yes, thank you. Thank you, Soomit for the questions. Well, regarding the enterprise segment, the overall enterprise segment represents about 14% of our sales. But it's mainly comprised of large clients. I guess that what you're asking is the risk of businesses heavily affected, like hotels, like restaurants, like retailers, we have a smaller-than-what-I-would-like market share on that industry. We estimate that it's less than 5% of our enterprise segment. So the impact really is not that big from the hotels or the medium-sized businesses are highly affected. Of the rest of the clients of the Enterprise segment, these are big clients, and these are projects that they do need. And some of them have even asked us for more capacity given their needs. Now, regarding the small clients, the micro clients and small businesses, they are not on the Enterprise segment, but they are basically on our residential offer. We estimate that about 8% of our total customer base is nonresidential. However, it’s difficult to determine what the percentage is really small shops that are closed or people that is actually working from home and they do have the connectivity need. Any impact on collections will be reflected in the churn of our MSO business. Those that cannot pay it's already reflected. We are offering them alternatives including migration to lower-priced packages or temporary suspension. Briefly, regarding our margin we believe that we have a good margin. The cost that have increased it's basically decisions that we have taken to improve how we are programming or to create promotions like portability or like the automatic recurring payments or the bundles, and that has had a small reduction in margin but we're happy with the margin. All these things contribute to reduce churn. We will be disciplined as Alfonso pointed out. So I think that we'll be able to maintain our margins.
Operator: And we have no questions on queue. Presenters, please continue.
Alfonso De Angoitia: Well, thank you very much for joining us. If you have any follow-up questions please call Carlos or our Investor Relations team. Thank you again. Stay safe. Stay healthy. Bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.